Operator: Good morning, ladies and gentlemen, and welcome to Revlon’s Second Quarter 2016 Earnings Conference Call. At the request of Revlon, today’s conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to hand the call over to Ms. Siobhan Anderson, Revlon’s Chief Accounting Officer and Treasurer. You may begin, Ms. Anderson.
Siobhan Anderson: Thank you. Good morning, everyone, and thanks for joining today’s call. Earlier today, we released our financial results for the quarter ended June 30, 2015. If you have not already received a copy of the earnings release, you can obtain one on our website at revloninc.com. On the call with me this morning are Fabian Garcia, our Chief Executive Officer, Juan Figuereo, our Chief Financial Officer; and Scott Beattie, Chairman, Chief Executive Officer and President of Elizabeth Arden. Before I turn the call over to Fabian, I would like to remind everyone of a few things. First, our discussion this morning might include forward-looking statements that are based on our current expectations and are provided pursuant to Private Securities Litigation Reform Act of 1995. Information on factors that could affect our actual results and cause them to differ materially from such forward-looking statements is set forth in our SEC filings, including our Q2 2016 Form 10-Q, which we filed earlier this morning. We undertake no obligation to publicly update any forward-looking statements except for the company’s ongoing obligations under the U.S. federal securities laws. Next, our remarks today will include a discussion of certain GAAP and non-GAAP measures. The company has identified certain unusual items impacting the comparability of our period over period results. As a result of these unusual items, the definition of adjusted EBITDA has changed from that used in prior periods. The adjusted measures are defined in our earnings release and are also reconciled in the financial tables at the end of the release. In addition, unless otherwise indicated, our discussion will be on an XFX basis, excluding the impact of foreign currency fluctuations on the period over period variance. Our discussion this morning should not be copied or recorded. And with that, I will turn the call over to Fabian.
Fabian Garcia: Thanks, Siobhan. Good morning to all and thank you for joining our call today. Before I share with you highlights from our second quarter performance, I wanted to summarize the three strategic objectives we aim to achieve going forward. First, build a foundation for sustainable growth [indiscernible] [0:02:55] market. Second, harness the power of our iconic brand portfolio to delight our consumers wherever and however they shop for beauty. And three, develop a cost structure to deliver world-class profitability. As stated in this morning’s earnings release, I am happy to report that we ended the second quarter strong with net sales up 3.5%, adjusted for foreign currency. This growth was fueled by new product innovation and strong performance across most of our brands in both the consumer and professional segments and in most of our international territories. Revlon color cosmetics continues to deliver strong growth behind the successful launches of Revlon mascara collection and the Ultra HD Matte Lip Color line, both of which were in the top five new product launches as measured by Nielsen so far this year. Revlon consumption is up 3.9% year-to-date in the U.S., outperforming the mass color cosmetic category. Innovation in our flagship brand is working as intended. In the second quarter growth was also driven by Kylie SinfulShine collection, a brand with a robust digital following, by Mitchum Anti-Perspirant & Deodorants new dry advanced control spray, and by Cutex nail products in our consumer segment. In our professional business, American Crew’s line of the special edition grooming products honoring style icon, Elvis Presley, has continued to demonstrate strong sales and also have the Revlon professional hair products. Also as you know, during the second quarter, we announced that Revlon signed an agreement to acquire Elizabeth Arden. We are very excited about the strategic long-term growth platform that this acquisition will provide. It will allow us to significantly improve our gross profit in faster growing categories, channels and territories, while making us a more diversified and stronger top 20 global beauty player. My leadership team and I are very excited about our future after this transaction closes. We are not the only ones that’s excited about the Elizabeth Arden acquisition. Last week we were on the road meeting with investors and the feedback was overwhelmingly positive about the potential value creation opportunity this merger provides. As of today, we have secured total financing commitment of $2.7 billion with favorable returns. Juan will provide details for you later. Our team is excited by the news of pending Elizabeth Arden acquisition and the potential opportunities for growth and professional development. And as previously discussed, we expect to close these acquisitions by the end of 2016 subject to regulatory clearance and customary closing conditions. As you can expect, we are moving forward on multiple fronts. In the past two weeks, we kicked off integration planning jointly with Arden leadership team and are working on the execution level planning of synergy capture as well as the future operating model of a combined organization. Our aim is to hit the ground running on day one the moment we close this transaction. As I approach my 100th day of Revlon, let me share some further observations about our business and our strategic approach to sustain our growth further. To build off of what I said in the first quarter, we are continuing to evolve the strategic value creation framework now to include Arden, our flagship brand Revlon is healthy and growing, and our international business is up both in consumer and professional. We feel good about a strong innovation pipeline in the second half and our teams are focused on excellence in execution. That said, the specific opportunities to further accelerate our growth and we are working diligently to address them. First, the CND business, which has been focused on the premium long-lasting nail polish segment, continues to compete against value brands in the salon channels. In the short-term, we have plans to launch an entry prize brand under the CND banner while finalizing a more strategic response to these new market dynamics. Second, we are working to make Almay more relevant to younger consumers and more truthful to its core position. This is a priority for a business and our team is focused on getting it right. Third, and on a more tactical level, our ColorSilk hair color brand has been challenged by recent value brand entry in one of our largest customers in the U.S. We have plans to launch several innovations in the hair color sales segment to revitalize that franchise starting in the third quarter. As I mentioned earlier, international continues to be a strong growth lever for us and I wanted to provide you with some additional dimension on that. Our consumer international business grew net sales 12.5%, 12.6% in the second quarter on a XFX basis with a particularly strong growth in Japan, Argentina, and the U.K. This increase was driven by Revlon color cosmetics, Revlon’s ColorSilk, and simple colors. Our professional and international business also had positive results with net sales growth of 2.5% in the quarter driven by Revlon professional and the new Elvis branded line over American Crew. As we are well into the third quarter already, we are encouraged by our continued recent strong performance optimistic about our future and excited about the growth potential from the acquisition of Elizabeth Arden. I will now turn the call over to Juan, who will walk you through a summary of our financial performance.
Juan Figuereo: Thank you, Fabian and good morning everyone. Before I discuss our financial results, I would like to provide an update on the financing of the Elizabeth Arden acquisition. The company received a very strong and positive reaction from the dead market and has secured total financing commitments of approximately $2.7 billion, all with favorable terms. Last week we completed the road show for our senior unsecured notes. Given the significant demand we upsized the offering to $450 million. We also have secured commitments for our term loan and ABL for the $1.8 billion and $400 million respectively. So, our funding for the acquisition is now secured. We continue to expect the deal to close by the end of 2016 subject to regulatory approval and customary closing conditions. We will now review our segment results. Starting with our consumer segment, consumer segment net sales were $359.5 million in Q2 representing a 3.9% increase on an XFX basis. This was driven by an increase in consumer international sales of 12.6% XFX, as discussed by Fabian. Our consumer U.S. net sales decreased 1.3% versus the prior-year quarter, primarily driven by lower consumption of Almay and Revlon color silk, partially offset by higher net sales of Cutex and Revlon beauty tools. Consumer segment profit was $81 million in Q2, a decrease of 2.5% on an XFX basis, mainly due to higher cost of sales as a result of product and country mix and the impact of XFX transaction within cost of sales. Reaching now to the professional segment, professionals segment net sales in Q2 were $123.3 million, essentially flat versus the prior-year quarter. Internationally, professional grew 2.5%, driven by higher net sales of Revlon professional, as well as American Crew due to the continued expansion of the Elvis-branded products. These increases were partially offset by lower net sales of CND nail products, primarily as a result of microeconomic conditions in Russia. In the U.S. professional net sales decreased 2.6%, as a result of lower net sales for CND nail products due to the market dynamics that Fabian discussed earlier, as well as the lapping of strong product launches in the prior-year quarter. Professional segment process was $24.1 million in Q2, which was essentially flat versus the prior-year quarter. As for our other segment, we increased net sales 48.8% on a XFX basis versus the prior-year quarter. However, I would like to remind you that CBB was acquired in late April of 2016. Moving now to total company results, we reported consolidated net sales of $488.9 million in Q2, an increase of 1.3% or 3.5% on an XFX basis over the prior-year quarter. Consolidated adjusted EBITDA was $89.1 million, a decrease of 1.1% or flat on an XFX basis, as compared to the second quarter of 2015. The impact of the increased net sales in the quarter was offset by higher cost of sales as a result of product and country mix and the unfavorable impact of transaction FX from cost of goods sold. FX transaction unfavorably impacted adjusted EBITDA by approximately $3 million in the quarter and approximately $8 million in year-to-date through Q2. Consolidated adjusted net income in Q2 was $14.7 million, a decrease of $14.3 million, driven by $16.4 million increase in foreign currency losses on intercompany loan, as compared to the prior-year quarter. Taking a look at cash, we continue to feel good about our liquidity position. As of June 30, 2016, we had approximately $343.9 million of gross liquidity consisting of $177.2 million of cash on hand, plus available borrowing capacity of $166.7 million on our revolver. In closing, our core Revlon business has good momentum and we’re very excited about the growth potential of our combined business including the pending acquisition of Elizabeth Arden. Now I will turn the call back over to Siobhan.
Siobhan Anderson: Thank you, Juan. This concludes our prepared remarks and we would now like to open up the call for your question. Operator please prompt the participants for questions.
Operator: Certainly. [Operator Instructions] We’ll go first to Kevin Ziets with Citi.
Kevin Ziets: Hi everyone. Good morning.
Fabian Garcia: Good morning.
Juan Figuereo: Good morning.
Kevin Ziets: My first question is on the guidance that you had previously put out for I think it was a midpoint of around $4.10 of EBITDA, I’m wondering if you could confirm that guidance based on the pipeline that you talked about for the second half and let's just start with that.
Juan Figuereo: Absolutely yes.
Kevin Ziets: Okay. You mentioned that you thought you were losing some share and you had some value offerings that were coming out in the second half. I noticed that there is a good bit of margin pressure this quarter. Some of its FX, some of its mix, is that a headwind that we should expect to continue and therefore the driver of the $40 million improvement in the back half of the year, is it more top line or is it more on the margin side?
Fabian Garcia: Well Kevin let’s clarify a couple of points you have made. We are not losing share. The Revlon brand continues to grow share and have done so for the past 52 weeks. That came out yesterday great news. And I think that we need to congratulate our teams for achieving that. Almay is the one that has lost some share over time. So, let's clarify that point.
Kevin Ziets: Sure.
Fabian Garcia: We feel very good about the innovation that is coming in the second half and that we have confirmed our plans of the three segments and that makes us feel positive about affirming the guidance. From a gross margin point of view we live in a world of ForEx that will continue to exist. But we feel good about the numbers that we have going forward for the second half. So, as you know, this business is very U.S. centric and we feel very good about the current trends of our business in the U.S. so we expect the gross margin pressures to abate as we improve performance in the U.S. So with that I will just say that our achievement of $410 million over adjusted EBITDA is exactly as we planned based on our second half innovations and the fact that we have better innovations for they have compared to what we had last year.
Kevin Ziets: Okay. I know the fourth quarter in particular can be impacted by the timing of one retailers take inventory for January resets is, is that, I guess my question is, is the improvement more 4Q than 3Q or is it pretty balanced across the two quarters?
Fabian Garcia: I think it’s balanced. Obviously we cannot predict whether our retailers are going to – the visibility we have is based on the innovation and the welcome they have given to that innovation as we have sold it through, which is very positive. So, at this point-in-time we are quite confident on achieving our number.
Kevin Ziets: Okay, great. And then I guess while Scott’s on the line, I was just wondering if you could maybe provide an outlook for the back half on Elizabeth Arden or at least on fragrances in general?
Scott Beattie: Well first of all, I just refer you to our 8-K, July 18 we have our earnings call August 10, so I'm a bit limited in terms of going into much detail beyond what we’ve said in the 8-K. What I can say is, just on the 8-K is that we ended our fiscal year June 30 very strongly. Our North American business again this constant currency and our North American business increased by approximately 3% international was increased by 4.5% and particularly encouraging in our fourth-quarter. The Arden brand had its sixth consecutive quarter of growth and it was up 14% in constant currency. So that was very positive. We’re seeing accelerated growth in the Arden brand and that’s combined with increased, pretty significant increase in gross margin both for the year and the quarter. As we go into Fiscal 2017, again, we don't have outstanding guidance and don't intend to provide guidance on our conference call, but the momentum of both our retail sell-through, as well as the performance of our strategic initiatives around Arden and improved innovation on fragrances are showing positive improvement
Kevin Ziets: Okay. That's great. And then maybe just lastly for either one of you, just sort of a sense of we’ve heard from others about inventory reductions in retail have been constraining them, I'm curious how you feel about inventory in the channel and then I'll pass it on?
Fabian Garcia: Look Kevin, we commented on that in the first quarter and at that time we said, it was going on and we were expecting that to abate early in the second quarter. And he abated relatively late in the quarter, more towards May than in April. So, we started slow, but we picked up the pace and I go back to something I said, which is we feel very good about the pace we have right now in the U.S. business. So again there is a lot of different dynamics by different companies, but we are telling you what has happened here.
Juan Figuereo: Actually in terms of our business, our inventory is in good shape with the retailers particularly, the US-based retailers are very conscious of matching, selling with sell-through and you can see from our rate of growth internationally that the performance of our business is pretty strong. So, we are very comfortable with inventory levels.
Kevin Ziets: All right. Thank you guys. Good luck.
Fabian Garcia: Thank you Kevin.
Operator: We’ll go next to Grant Jordan with Wells Fargo.
Grant Jordan: Great. Thanks I think a lot of those covered mine. A couple follow-ups. You mentioned on the CND product bringing and a lower price point, has the pressure there, is that related to the over category in product or do you think there’s been push back on price point?
Fabian Garcia: The way we see it is, more about the category and the changing dynamics in the male salons for volume. Not just the high quality shellac treatment. So, we are going to start our plan to recover with an entry priced brand from CND and as I said we will come back with a more strategic response later on. But the market dynamics have changed.
Grant Jordan: Okay. And then with regards to Elizabeth Arden, I mean since you got Scott there are you guys continuing to work on the post close planning cost saves and that sort of thing?
Fabian Garcia: Absolutely. So first of all we have the privilege of having Scott here and we have had the benefit of his team’s partnership with us for integration planning, which is what we can do between signing and closing. We had, as I mentioned in the call a terrific press planning section jointly with the two management teams. We are preparing for - planning such in integration so on day one we can proceed with a strategic capture. We can proceed with making sure that the teams are focused on delivering the third and fourth quarter sales on both ends. We can proceed, we are making sure that the Revlon side learns about the Arden business and we can proceed to form teams on both ends that will help us grow the business going forward. So, we are very active in that area and quite delighted with the partnership that the team in Arden has volunteered.
Grant Jordan: Okay, great. That's all I had. Thank you very much.
Fabian Garcia: Thank you very much Grant.
Operator: We’ll go next to Carla Casell with J.P. Morgan.
Carla Casell: Hi, I have one house keeping item on the business. As you look at Revlon, can you give us a sense of what percentage of your sales are coming from mass merchants food and drug versus specialty retail, and if you’re seeing any opportunities in specialty retail?
Fabian Garcia: We would obviously …
Carla Casell: Something like [indiscernible] and the salon’s and the other…
Juan Figuereo: I understand. We would not disclose the ratios, but what we can tell you is that we are focused on driving growth, you know retail environment. We are very interested in the balance and we also need to be competitive everywhere the consumer shows. Obviously, by retailer, by channel, online and retail market. So, in a way the percent split does not drive our interest. What drives our interest is to reach the consumer.
Carla Casell: Okay. Great. And then are you seeing - you mentioned ColorSilk has a new competitor out there on the value side. I’m wondering if you’re seeing any further increases in, either private brand or focus on value lines coming out in your channels? How retail is doing more private brand in cosmetics?
Juan Figuereo: We haven't seen private brands in hair coloring. What we have seen is that some of the international competitors want [indiscernible]. And obviously we have a very strong leadership positions, we have here in the United States these competitive and these are logical in a way. And of course there would be a response.
Carla Casell: Okay, great. Thank you.
Operator: William Reuter with Bank of America Merrill Lynch has our next question.
William Reuter: Good morning guys. It sounds like the innovation pipeline in the second half of the year is obviously pretty strong. I was wondering if you could talk a little bit about how the second half results, I guess if you could break it down in terms of the drivers being innovation versus increased sales of your existing product lines.
Fabian Garcia: I don't think we will provide a numerical breakout of growth base versus innovation, what I can comment on is the first statement that you made, we have very exciting plans on innovation for the second half. It’s more of a fewer, bigger, better, but when you compare the fewer, bigger, better for the second half versus the half of last year, the amount and the quality of the innovation is stronger. So, we feel good about that. It is across consumer and professionals. There is also in the CBB segment from innovation coming down the line. So, we feel very good about that.
William Reuter: Okay. And then with the new products that you guys are introducing, are most of these products replacing existing shelf space or have your expanded the space that you have with some of your customers?
Fabian Garcia: In cosmetics we replace that’s the dynamic of the trade and in the personal care category many of them are expansions.
William Reuter: Okay. And then there was comment in your prepared remarks about your third quarter results, was it meant to imply that the trends that you guys are seeing in the third quarter are similar to those which you saw in the second?
Fabian Garcia: I will not comment on the third quarter until we close.
William Reuter: Okay. And then, I guess, just lastly for me, obviously, there are some brands that have been doing better and some brands have been a little bit softer, would you guys consider divesting brands, would this be part of your strategy? And I guess how should we think about that?
Fabian Garcia: Well, we always assess opportunities to create value for the company and rationalizing the portfolio as part of our strategy. But we will not comment on these matters until we have something to communicate.
William Reuter: Okay, all right. I will pass it along to others. Thank you.
Fabian Garcia: Thank you very much.
Operator: We will go next to David Diamond with Provita.
David Diamond: Yeah, hi, good morning.
Fabian Garcia: Good morning, David.
David Diamond: I have two questions. The first, Fabian, as you’ve mentioned the digitalization is a top first priority for you. With fresh eyes on the company now, can you give us a sense of where the company stands today in terms of that area? And what sort of granularity can you give us in terms of what the financial impact could be in terms of progress in that area? My second question relates to the recent strategic review of the company. I think it's fair to assume that…
Fabian Garcia: Can you speak up, I'm losing you.
David Diamond: Yeah, so the first question was in relation to the digitalization of the company. The second one is if we assume that the recent strategic review means that the company is more of a consolidator in terms of M&A versus the consolidatee, I am interested in your views on your equity currency given that the shares traded at very depressed multiple relative to their peers and that M&A transactions in the beauty space generally have gone on at much higher multiples to were Revlon is. So how important is it for you to improve that equity currency valuation so that you can – so the deals can be more accretive with in terms of using cash and – not [indiscernible] cash? That’s my second question.
Fabian Garcia: Okay. We will give you an answer to the first question and then we will short comment on the second question. So for the first question, yes, digitalization is a priority for us. We have undertaken an evaluation of where we stand in the digital space. We have hired a couple of experts in these areas and indeed this week we had a review of their assessment of our current capabilities and their plan to continue to advance our digital capabilities. And this is an area that is of great interest to many of our competitors who have come forward and speak about what they are doing. So I would prefer not to get into more granularity than to say that we are really excited about the difference that these digital experts are starting to make in the way the company is engaging with the consumer. So this is the new world in which we live. All of us will look at our phones 50 times a day; some people of younger age profile don't watch TV anymore. So, what we want to be sure of is that we connect with them where they are and we engage with them with the content and the authenticity that they demand from brands today. So expect more from us in this area. We are very excited about this. In fact we are having a panel in the next hour after we're done with this with two digital leaders in the operation will brief our team internally of the specifics of what I am highlight for you. So expect more here. Make sure you check your phone. On the recent strategy review, I will not comment on this notion of consolidator versus – acquirer versus seller. I think the facts speak for themselves. There was a strategic review and we have announced the purchase of Elizabeth Arden. So we will be very focused on creating value by capturing the synergies that Elizabeth Arden acquisition affords us and growing the combined company to become a top 20 global player and beyond. So how we are going to finance any future moves is something that we will address at the time when those present themselves, but our priority right now is to make sure that the acquisition is completed first. Then the integration is done flawlessly. And the market will respond to that in the way we will deliver our results.
David Diamond: Great. Thanks very much.
Juan Figuereo: Thank you.
Fabian Garcia: Thank you, David.
Operator: We will go next to Karru Martinson with Jefferies.
Karru Martinson: Good morning. When you guys look at the feedback from retailers on the merger with you and Arden, I mean what do you kind of feel that you can kind of start leveraging your scale now as a global leadership portfolio brands?
Fabian Garcia: Well, we have got very positive feedback from retailers and that has added to excitement internally. And I have to point out that those retailers who see the future see a clear picture of more access to categories that drive growth in beauty with very iconic brands that respond to brand support. And for many of the global customers, the power for us to expand our presence with these two brands around the world. So perhaps not the right form today to comment on specific retailers, but suffice it to say that the big ones have been very supportive. We have plans with many of them this fall after the closing. We will be presenting joint business planning. We find ourselves in the privileged position of the strength of Elizabeth Arden business both fragrance and the brand. Elizabeth Arden that combined with the resurgence Revlon results is giving us a seat at the table with the big players and the big retailers. So we are very happy with the feedback and looking forward to those meetings.
Karru Martinson: And just on Almay, this is a brand that has kind of struggled now for many, many years. It’s been reset many, many times. I mean what is different about the reset that you are doing with the brand today versus the prior? And kind of when do you that we should be looking for traction with that reset?
Fabian Garcia: I will comment on the reset when we announce it public. And what we are – the timing for that is we are really having conversations with our trade partners at the end of the year, we will start to see the impact of – I don't call it a reset, but clarity on the position of this brand that you will see in the market early in 2017. We feel very good about the work. We saw the work this week. We are about to launch in Italy within four weeks into the second quarter. So we are working with an outside partner that is one of the best in the trade when it comes to brand equity buildup. So we are very happy with what we are seeing and the expectation is that we will present it to you at the end of this year. I will comment more to you and to the rest of investors as we have more specifics. But we are very excited about getting it right finally.
Karru Martinson: Thank you very much. Appreciate it.
Fabian Garcia: Thank you, Karru.
Operator: Our next question comes from Hale Holden with Barclays.
Hale Holden: Good morning. Thank you for taking the call. On the CND business, I have two questions around it. The first is how easy is it to shift those nail salons back to your product after they’ve kind of gone in one direction?
Fabian Garcia: Well, this is an interesting question. Because they have to value, but the answer to value brands in any category is always innovation and premium offerings that deliver better value to the consumer with better performance. So that is the true solution to this problem. To remind the consumer that you get longer-lasting nail polish with our product that is worth the price, and also working with our nail salon partners to remind them that the margin opportunity with our product is attractive and competitive and sustainable. So beyond that what we need to do is commercial very savvy to ensure that we communicate the benefits of our brand in a way that is compelling to not only their client, but also our customers.
Hale Holden: Got it. And I should know this, so I apologize. But how large are the U.S. professional kind of revenue line is the nail CND business in terms of percentage?
Fabian Garcia: It is larger. I don't believe that we will disclose the split by brand, but it is material. It’s an important business for us and that’s why we are so focused on restoring growth in that line.
Hale Holden: Okay. And then you call that growth in the UK, Argentina and Japan, I was wondering if you could give us a sense of how much larger that growth percentage was versus the international kind of you – that you reported or how much above the mean those three countries were?
Fabian Garcia: Significant. Multiples of three, four.
Hale Holden: Great. Thank you very much.
Juan Figuereo: Thank you.
Operator: We will go next to Carla Castella with J.P. Morgan for a follow-up question.
Carla Casell: Hi. You talked about fewer, bigger, better launches at the back half. I'm wondering how that should affect your trade – display spending and if you expect display to stay in the same ranges last year?
Fabian Garcia: Yeah. Recall that every year we have a strong second half. So we don't see any different trends for the trade spend for the second half. What we do see is great except to acceptance to the innovation as we are presenting it. So we feel good about the support we will obtain from the trade partner. So I will not comment beyond that, but it is good to see that the initial reactions are as positive as we expected.
Carla Casell: Okay, great. Thanks.
Fabian Garcia: Thank you, Carla.
Operator: We have no additional questions in the queue at this time.
Fabian Garcia: Thank you to everyone who joined the call for your support and attention to our business. And I want to also thank all the Revlon teams around the world for their drive to continue to grow our company. Have a good weekend.
Operator: Ladies and gentlemen that does conclude today's conference. Thank you all for joining.